Operator: Good day and welcome to the Cheniere Energy Fourth Quarter and Full 2017 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Bhatia, Vice President of Investor Relations. Please go ahead sir.
Randy Bhatia: Thank you. Good morning and welcome to Cheniere Energy's fourth quarter and full year 2017 earnings conference call. Slide presentation and access to the webcast for today's call can be found on our website at cheniere.com. Participating on today's call are Jack Fusco, Cheniere's President and Chief Executive Officer; Anatol Feygin, Executive Vice President and Chief Commercial Officer; and Michael Wortley, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements. Actual results could differ materially from what is described in these statements. Slide two of our presentation contains a discussion of those forward-looking statements and associated risk. In addition, we may include references to non-GAAP financial measures, such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measure can be found in the appendix of the slide deck. As part of our discussion of Cheniere Energy Inc.'s results, today's call may also include selective financial information and results for Cheniere Energy Partners' LP, or CQP, and Cheniere Energy Partners LP Holdings, LLC, or CQH. On this call, we do not intend to cover CQP or CQH's results separately from those of Cheniere Energy, Inc. After prepared remarks, we'll open the call for Q&A. As shown on the agenda slide three, Jack will begin with an overview of the fourth quarter and full year and then give an update on construction and operating progress at our liquefaction projects. Following Jack's comments, we will hear from Anatol on our commercial activities, and then from Michael who will review our financial results. I will now turn the call over the Jack Fusco, Cheniere's President and CEO
Jack Fusco: Thank you, Randy and good morning everyone. Thanks for joining us as we review Cheniere's results from the fourth quarter and full year 2017 and provide you with our improved outlook for 2018. By most conceivable relevant measures, 2017 was a breakthrough year for Cheniere. We achieved significant milestones operationally, financially, commercially, and just about everywhere in between. We have demonstrated our commitment to execution, operational excellence, financial discipline, and in doing so, we've delivered on our promises to our customers, employees, and stakeholders. We did sell in the face of some challenging circumstances in 2017, most notably, Hurricane Harvey. I'm especially proud of our workforce's resilience and dedication, which are key factors in our record 2017 results and improved outlook for 2018. Entering 2018, I'm more excited about Cheniere's growth prospects in at any time since joining the company. As the market continues to exhibit strength and demand for our product, in some cases, it's even better than we even anticipated. We've recently announced three new long-term SPAs, which we expect will support our growth plans at Corpus Christi. First, in January, we executed long-term SPA with Trafigura and earlier this month, we executed two long-term SPAs with China National Petroleum Corporation, or CNPC. We have recently executed another medium term contract to provide CNPC additional cargoes in 2018 through 2020. This CNPC transactions in particular, demonstrates Cheniere's strategic positioning, our ability to execute in the value proposition that is difficult for many to match. These long-term SPAs built upon Cheniere's growing activities and presence in China, including more than 35 cargoes of LNG delivered from Sabine Pass, an opening of an office in Beijing, and a broad and intense effort involving Cheniere employees from across our offices in Beijing, Houston, Washington, London, and Singapore. We're honored to be involved in this historic deal, the first direct long-term LNG supply contract though in a Chinese company and a U.S. LNG exporter, a significant milestone in LNG cooperation between the United States and China. I would like to thank the administration, especially the Department of Commerce for their support of the U.S. LNG in China. With the commercialization of the trains financially complete, which you will hear from Michael, we are now focused on completing the remaining steps necessary to make a final investment decision on Train 3 at Corpus Christi in the next several months. I look forward to putting a check mark on the now famous to-do list on my whiteboard, next to FIDCC3, as I'm sure you all do as well. Turn now to slide five for an overview of our key operational financial highlights of the fourth quarter and full year 2017. For the full year 2017, we generated over $5.6 billion of revenue, consolidated adjusted EBITDA of over $1.8 billion, and more than $600 million in distributable cash flow, delivering on the increased guidance for the full year we provided last quarter. Michael will provide some more color on our financial results in a few minutes. We loaded and exported a total of 205 cargoes of LNG from Sabine Pass in 2017, including a record 70 in the fourth quarter alone. We have now exported approximately 300 cargoes of LNG from Sabine Pass since start-up in 2016, and our product has reached 25 countries and regions around the world. This winter season in Asia has seen LNG demand continue to outstrip supply, resulting in elevated LNG margins and pricing has shown significant resilience. We believe, owing to an emerging structural shift in gas demand like we have discussed over the past year. In addition, we have seen strong production volumes at Sabine Pass as the colder months yield somewhat higher production, the combination of strong pricing, consistent production, and the fact that our marketing function has had access to a significant amount of volume to sell into the market, has contributed to our improved outlook for the full year of 2018. Today, we are raising the full year 2018 guidance from $1.9 billion to $2.1 billion, to $2.0 billion to $2.2 billion of a consolidated adjusted EBITDA. I've mentioned on calls and investor forums that our demonstrated operating capability, our access the near-term LNG cargoes, and our ability to directly deliver our LNG to our customers docks are competitive advantages as we progress efforts to commercialize the new capacity return off take. We have delivered on that with the recent long-term SPAs, which bring to bear our competitive advantages of demonstrated execution and operating capabilities and the ability to provide energy to our customers early through our portfolio of volumes. These advantages are understood and valued by LNG buyers and we're focused on continuously leveraging them to support our growth initiatives. Slide six provides an update of progress at our LNG projects at Sabine Pass and Corpus Christi as of December 31st, 2017. Trains 1 through 4 at Sabine Pass are complete and are operational and all were completed ahead of guaranteed schedule and within budget. Substantial completion was achieved on Train 4 in October, about five months ahead of schedule. We look forward to commencing commercial service to GAIL. This 20-year SPAs tied to Train 4 at Sabine Pass in a week or so. As you may be aware, in January, we had a minor LNG leak from Train 3 at Sabine Pass and we identified a minor vapor release from Tank 1. After safely securing the tanks, we notified the appropriate regulatory agencies. Tanks 1 and 3 have been taken out of operational service, repair and remediation plans are being assessed, and a root cause analysis is in process. Safety is our number one priority and we want to stress that there was and is no danger to the community, our workforce, or the facility. Additionally, there has been no impact LNG production from this incident. In the recent days, the Gulf Coast has been dealing with seasonal light winter fog. The U.S. Coast Guard has closed the ports and stopped ship traffic for approximately a week. This has had some impact on our customers' ability to birth vessels at our terminal. We planned for weather events and we opportunistically pull-forward scheduled maintenance to capitalize on this event. You should expect us to manage our infrastructure to maximize production over the year, which will help minimize any net LNG production impact from short duration events such as weather. In general, we have accounted for seasonal weather events like this one to occur and these events are factored into our guided range of 4.3 million to 4.6 million tons per annum of production per train. Construction continues to progress ahead of schedule and on-budget for Train 5 at Sabine Pass and Trains 1 and 2 at Corpus Christi. We expect some substantial completion for Train 5 at Sabine and Train 1 at Corpus in the first half of 2019, followed by Train 2 at Corpus in the second half of next year. Execution on our platform continues to be world-class, which is our key competitive advantage in the current market and this is certainly recognized and valued by perspective LNG buyers worldwide. As we discussed last quarter, we finalized the Train 3 engineering procurement and construction contract with Bechtel Corporation. We got that project underway under limited notice to proceed, or LNTP. Getting started under LNTP is designed to leverage personnel and equipment already on-site at Corpus and efficiently transition them to Train 3 work, which will give Train 3 a bit of a schedule head start prior to FID and full notice to proceed. Under LNTP, Train 3 engineering has progressed to 25% complete, ground and foundation work has been, and most importantly, the train construction cost, schedule and performance are fixed. Now, let's turn to slide seven, where I've laid out a reinforcement of Cheniere's investment thesis and demonstrated how our strategic positioning and end-to-end project capabilities set us up for long-term growth. I'll start at the bottom of the slide, which focuses on operational excellence and reliability, which formed the foundations of our ability to continue successfully marketing incremental liquefaction capacity on a term basis. As I said a few minutes ago, our reputation as a prudent operator is a distinct competitive advantage today. But given that, we are executing on our growth strategy from a strong foundation. The execution of this strategy is taking place in a fundamentally strong LNG market. If you look at the left side of this slide, short-term pricing has remained strong through the winter, but price is clearing today higher than a year ago, despite global LNG supply growing almost 30 million tons in 2017. In our position on our Gulf Coast with stable low-cost feedstock and our proven ability to source it positions us well to capture incremental demand. Finally, on the right side of the slide, we look to synthesize these dynamics with our capabilities to capture long-term growth opportunities. We've made significant progress on Train 3 since our last call, demonstratively, leveraging our competitive advantage and are focused on pursuing FID in the next few months. As I stated in the beginning of my remarks, 2017 was a breakthrough year for Cheniere. We emerged from 2017 with pride in our accomplishments, with our strategic approach refined and approved by both successes and failures. Looking ahead at 2018 and beyond, our capabilities that met my confidence in our ability to capitalize on the significant opportunities present in the market today. And now, I'll turn the call over to Anatol to provide an update on our recent commercial activities and what we're seeing in the market.
Anatol Feygin: Thanks Jack and good morning everyone. Please turn to slide nine. Loadings and deliveries from Sabine Pass accelerated during the fourth quarter as production of the plant continue to ramp with the startup of commercial operations of Train 4 during the quarter. The substantial completion of Trains 3 and 4 in 2017 each well ahead of schedule, facilitated the export of more than 200 cargoes for the year, a significant increase from the 56 cargoes exported in 2016. The cargoes were delivered to destinations all over the world, with Mexico, South Korea, and China as the top three destinations for deliveries in 2017. This in line with the recent trends in the global market reflecting Asia as the most dominant source of LNG demand growth. About 45% of the cargoes were delivered to Asian markets, while 14% were delivered to Europe, mostly into premium markets on the Mediterranean. Northwest European market demand for gas was primarily satisfied via record pipeline gas wells from Norway and Russia, which helped free up volumes to balance the LNG market, again, especially in Asia. Fewer cargoes were exported into the Middle East and North Africa, reflecting lower demand in the peak summer season in that region and the decreased pull from Egypt as the country ramps up production from its new offshore gas deals. Latin America took in about 30% of the deliveries as Mexico's needs remained strong throughout the year. Now, let me update you up on us some of our key takeaways on global LNG supply and demand dynamics as we exited 2017. Let's turn to slide 10. 2017 was a strong year of supply growth for LNG. The industry produced about 30 million more tons than it did in 2016. Australia and the U.S. accounted for approximately 75% of this supply growth. The U.S., via only Sabine Pass, of course, produced over 14 million tons in 2017, or about 5% of total global LNG production. Our plant added more than 10 million tons of production to the market in 2017, representing about 35% of the overall increase in global supplies. This is the largest contribution to growth of any single plant worldwide and 2017, and of course, production at Sabine Pass is set to continue to grow. We eluded earlier the strength in Asian markets. These markets continue to consume more than 70% of the global trade, which grew to about 293 million tons last year. Asia consumed an additional 22.6 million tons last year, absorbing nearly 75% of the incremental LNG volume in the year. The region's demand for LNG was strong year round, but it was even more buoyant in the fourth quarter as a result of strong economic performance, cooler temperatures, and an accelerated culture for coal-to-gas switching in China. The more established Asian markets of Japan, Korea, and Taiwan also exhibited stronger than expected demand overall, largely of the back of nuclear startup delays in Japan and repeated nuclear outages in Korea and Taiwan. Each of these established markets long assumed by market observers to be flat to declining markets over time, all increased LNG imports year-over-year in 2017. Europe's overall LNG demand also strengthened in 2017, reaching 46 million tons or an increase of 20% year-over-year or almost 8 million tons. The growth was propelled by the Mediterranean importers, supported or weather factors, low hydro and positive coal-to-gas switching economics. This strong demand in Europe was not a reflection of a surplus in the global market as most funders has expected, rather it was a natural demand pull resulting from strong demand in power generation, declining domestic supplies, and shortfalls in hydro and nuclear power production. As you can see the flexible markets in Northwest Europe, consider the balancing markets for global trade or sometimes called markets of last resort, ended the year with a negative areas, down 2.4 million tons of the year as LNG sought to satisfy demand from other market that need it. You can see from the chart how remarkable China's growth was last year. China's overall gas demand grew by about 16% year-on-year to approximately 23 Bcf per day with a significant portion, nearly 50% of that growth, satisfied by LNG imports. Domestic gas production gain satisfied 40% of the growth and pipeline imports contributed about 10%. The country imported nearly 40 million tons, double the amount imported in 2015 just two years ago. 42% of the increase in global LNG supplies last year was absorbed by China alone, which made it Sabine's third largest delivery destination in 2017. China's incremental intake of approximately 12.6 million tons of LNG this past year is equivalent to production from the three LNG producing countries of Angola, Norway, and Equatorial Guinea combined. China is currently constructing approximately 1.8 Bcf a day of incremental regasification capacity, another tangible sign that LNG demand growth in China is structural. In the fourth quarter, China absorbed about 75% of both Australia's and Sabine Pass' incremental production for the quarter. This is a direct result of the Chinese government taking serious and what we believe to be sustained efforts to lower coal burn and reduced air pollution. We believe this is indicative of the structural changes in the market that will have long-term positive implications for our business. Aside from China; Korea, Turkey, Spain, and Pakistan were all of the key growth markets in 2017. Increased gas consumption in the power and heating sectors, along with increased attractiveness of gas relative to coal and liquids helped boost demand. Pakistan continued to build on the momentum it gained in 2016. The country commissioned a second regas terminal in 2017 and is expected to ramp-up the import capacity to satisfy the growing need for LNG imports in the next few years. Collectively, these incremental four markets have added an incremental 10.2 million tons to global demand in 2017 despite robust prices, which for a good period this winter clearance levels approaching oil parity, as we illustrate on the slide 11. LNG market prices in the fourth quarter cleared at levels higher than the past three years, despite the start-up of several LNG trains during the second half of the year, including Sabine Train 4, Wheatstone Train 1, and the Amal's first Train. These higher price levels continue to reflect the growing demand for LNG globally, which remains competitive against liquid fuels. At the same time, we've seen a slowdown in new supply capacity sanctioned over the past two years, as the industry reacted to the rapid ramp-up in supply expected from 2017 through 2019, and the forecast of ensuing oversupply. With new supply expected to be needed by the early 2020s, a four to five-year lead-time for construction and the forecast oversupply not manifesting itself in the market, we see this year and next as a critical point for buyer decisions a new volume. We believe Cheniere, with the economic and speed-to-market advantages of our expansion trains, is well-placed to meet demand growth and innovative enough to meet evolving customer requirements. As Jack mentioned earlier, our recent commercialization efforts have yielded positive results. Our SPA transactions with CNPC and Trafigura, illustrations of our ability to capitalize on a competitive advantages and underwrite your liquefaction capacity. With that, I will now turn the call over to Michael who will review our financial results.
Michael Wortley: Thanks Anatol and good morning everyone. I'll start this morning by highlighting some key components of our fourth quarter and full year financial results, and will then give an update for tax reform impact to Cheniere. I'll cover our revised 2018 guidance and finally, some of our near-term financial objectives. Turn now to slide 13, as Jack said earlier, 2017 was a breakthrough year for Cheniere and our financial results clearly reflect that. We reported consolidated revenue of over $5.6 billion, including over $1.7 billion in 4Q. I'm pleased to report consolidated adjusted EBITDA of just over $1.8 billion and distributable cash flow of over $0.6 billion for 2017. Both metrics, well within the revised guidance range we provided on our 3Q call. Guidance is a principal tool we use to provide transparency of our operation and expectations and we aim to consistently deliver on the guidance we provided to the investment community. We exported 734 TBtu of LNG from Sabine Pass during 2017, including 51 TBtu related to commissioning. Approximately 35% of the total volume, 252 TBtu, was exported in the fourth quarter, including seven TBtu related to commissioning. Of the volumes exported during the fourth quarter, over 60% of the volumes, approximately 155 TBtu were listed by our third-party SPA customers, with the remainder listed by our marketing function. Our marketing function had access to substantial production volumes in the fourth quarter due to the early completion of Train 4 and is expected to continue to have access to those volumes until the GAIL SPA commences March 1st. During 2017, our long-term foundation customer SPA with KOGAS reached DFCD, as did our SPAs in Gas Natural Fenosa and the Train 2 portion of BG Shell SPA. So, a considerable amount of our results for 2017 are related to cash flow from these long-term contracts with our investment-grade off-takers. We expect cash flows from these 20-year SPAs will continue to grow as a percentage of our total overall revenue as DFCD dates continue to be reached. During the fourth quarter, we recognized the income statement impact of 209 TBtu of LNG produced at Sabine Pass, consisting of 245 TBtu loaded during the quarter, about seven TBtu loaded in the prior quarter, but delivered and recognized in the current quarter, less 43 TBtu or 12 cargoes sold on a delivered basis that were in transit as of the end of the fourth quarter, which will be recognized in the first quarter of 2018. We also recognized an income 34 TBtu or nine cargoes of LNG sold by our marketing function that were sourced from third-parties. For full year 2017, we recognized the income statement impact of 660 TBtu of LNG produced at Sabine Pass and 98 TBtu of LNG sourced from third-parties. Net income attributable to common stockholders for the fourth quarter 2017 was $127 million or $0.54 per share and net loss attributable to common stockholders for the full year 2017 was $393 million or $1.68 per share. Net income for the year was impacted by increased income allocated to non-controlling interest. For the year, we had an impact of $748 million related to non-cash amortization of the beneficial conversion feature on CQP's Class B unit, prior to their conversion to common units in August. Excluding the impact of this item, we would have generated positive net income attributable to common stockholders of approximately $355 million for full year 2017. Turning now to slide 14, I'd like to address recent tax legislation and our revised 2018 guidance. In considering the Tax Cut and Jobs Act, we have identified four primary factors in the legislation that we expect to impact our tax position at Cheniere. We expect positive impact from a lower corporate tax rate and from bonus depreciation on qualifying capital investments, which will be largely offset by new limitations on using net operating loss carryforwards to offset taxable income and new limits on interest expense deductibility. We estimate the [resulting NPV] of these factors be positive by approximately $200 million. Functionally, we anticipate that Cheniere will become a taxpayer sooner due to these new limitations on NOLs and interest around the early 2020s, but will pay a lower amount of taxes due to both the lower overall tax rate and the expansion of the NOL, which we expect won't be fully utilized for several more years as compared to our prior guidance. At the CQH level, we anticipate the timing of initial tax payments to Cheniere under the tax sharing agreement will remain materially the same starting around 2020 and that CQH will pay lower effective rates over time, due primarily to the lower overall corporate tax rate and to a lesser extent from the limitations on utilization of NOLs. Moving now to guidance, today, we're increasing our 2018 guidance for consolidated adjusted EBITDA $2.0 billion to $2.2 billion. The increase in EBITDA guidance is driven primarily by better than expected margins on marketing volumes realized thus far the year. As Jack and Anatol described, we've seen higher LNG spot market prices and prices remaining higher for longer during the winter season and we anticipated for a number of reasons. Given that approximately 40% of the volumes expected to be available to our marketing function from Sabine Pass for 2018 are forecasted in the first quarter, we have improved visibility into what marketing can deliver for the full year. Additionally, we had higher than expected DES volumes [on the water] during the end of 2017, 43 TBtu or 12 cargoes, which will be recognized in the first quarter 2018 upon delivery and that is also contributing to the increase. One of the key financial goals for 2018 is to secure financing for Corpus Christi Train 3, which will enable the positive final investment decision for that project. Using the portfolio of contracts signed today, we're in process of arranging debt financing, which we anticipate to cover 50% to 60% of the total project cost for Train 3. As we've communicated, we plan to fund the equity portion of the project using existing cash and future operating cash flows and we expect the higher amount of project equity in the Train 3 relative to the first seven trains to help delever the consolidated impact. While we have not provided and do not intend to provide contract level economics on Train 3, at this time, we remain comfortable with the Train 3 run rate guidance range given at the Analyst Day last year of an additional $400 million to $600 million of consolidated adjusted EBITDA and an incremental $1 to $1.70 in distributable cash flow per share. In addition to Train 3 financing, in 2018, we remain optimistic in strengthening our balance sheet throughout the structure till the extent of market conditions are favorable. In 2017, we raised approximately $5.9 billion across the enterprise, highlighted by the completion of the refinancing of the Sabine Pass credit facilities, refinancing Corpus debt into the bond market, issuing an inaugural bond at CQP, and raising a flexible revolver up at LNG. As we look back and 2017, there's certainly a lot of to be proud of from an strategic execution standpoint, but there's further work to do with approximately $1.1 billion of term loans remaining on the CQP bank facility due 2020 and approximately $4.6 billion total capacity remaining on the Corpus credit facility due 2022. That concludes our prepared remarks. Thanks for your time and your interest in Cheniere. Operator, we are ready to open the line for questions.
Operator: Thank you, sir. [Operator Instructions] And we'll take our first question from Matthew Phillips with Guggenheim. Please go ahead sir.
Matthew Phillips: Thanks. Good morning guys. So, given the increased 12 million tons or so that China's taken in, in 2017 versus 2016, how do you see the market landscape setting up for this year and especially as we head into winter, given that coal parity is wider and -- I guess, just in terms of the factors that caused the increase, this winter, do you expect significant repeated that into 2018 and 2019?
Jack Fusco: Hey Matt, this is Jack. I'll start and then I'll have an Anatol finish. First, I'm extremely proud of my team. We saw an opportunity in China over a year ago. We've been talking about China with all of you for an extremely long period of time. We saw that it was a structural change in China that it wasn't dependent on weather, so yes, it was cold in China and in Asia overall, but that's not what was driving the high LNG prices in China's demand for LNG. It was our Blue Sky initiative. So, in China, they are serious about minimizing their coal-fired power production and coal-fired heating to increase their air quality. And having been there multiple times, I can tell you, they need to be extremely serious about it. The air quality in Beijing has a long ways to go yet to where it's healthy to breathe. So, we saw the structural change. We think it's there for the long-term. We've positioned ourselves appropriately. We have a Beijing office that is actually staffed by Chinese nationals. But with that, I'll let Anatol fill in any of my gaps.
Anatol Feygin: No gaps, nice work, Jack. Thanks Matt for the question. As we've said to you guys, we were optimistic as the market absorbed these volumes at more attractive prices and sort of more reliable supply. But we are, as Jack said, seeing very substantial structural changes. We see the China -- especially the China coastal markets that we expect to extend from the kind of Central and Northeastern part of the country down along the coast into the South to continue to be one of the big drivers. Emerging Asia is the growth engine for the LNG market and China is a single biggest piece of that. And as Jack said, the successes that they've had on the environmental front, while a long way to go, Beijing reduced its air pollution by over a third in a year and that was largely a function of shutting down the five large coal plants in the city limits and that success has not been lost on the rest of the country, and that's why we mentioned things like China increasing its regas capacity, promulgating new regulations, and opportunities to continue to have gas gain market share en route to their 15% overall goal. So, we're quite optimistic on that market as Jack said and have a great team in place to take advantage of that.
Matthew Phillips: Got it. Thanks. And on CMI, I mean you'll shift around 26 or 28 or so third-party cargoes for last year. I mean how should we look at procurement cost for those cargoes? And what is -- how do you expect the landscape to shake out there? I mean do you expect third-party cargoes to continue to be a big piece of CMI in 2018 even though if you're fully ramped up?
Jack Fusco: In general I would characterize those as opportunistic for a number of different reasons; I'd say it's safe to assume that those numbers will decline in -- for a couple reasons; one is because CMI's overall volumes will decline, so the opportunities to optimize around those positions will be fewer as all the SPAs commence. But you should expect us to continue to take advantage of opportunities that the market presents. That's one of the advantages we have in the integrated model and the amount of shipping that we control and the amount of volumes that we deliver to our customers will always present some opportunities. But it is not -- I would say, it's not a key leg to the stool.
Matthew Phillips: Understood. Last one for me. What was the gas procurement cost versus Henry Hub during 2017?
Jack Fusco: It was better than we had modeled originally, but we'll just leave it at that. The team did a great job of supplying the plant with record volumes and we fully expect their good performance to continue.
Matthew Phillips: Got it. Thank you.
Jack Fusco: Thanks Matt.
Operator: And our next question will come from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Good morning. Just wanted to circle back to CCL Train 3 FIDs here. And as I understand it -- if I have my understanding right, it seems like you have sufficient commercial support here based on what you've outlined at the Analyst Day to move forward. Is there anything left besides lining up financing before you would go forward in FID 3 here? And can you just refresh us, if you keep setting up contracts and the rates that you're going to have a Train after this. So, would the next Train make more sense at Corpus or Sabine, if you could help us out there?
Jack Fusco: Hi Jeremy, this is Jack. So, no, we feel like we have enough contracts to commercialize Train 3. And as Michael said in his remarks that he's working diligently to get the financing wrapped up, so we can go into full FID on Train 3. If you go out there, you'll see, again, that we've already started with a foundation work and some of the groundbreaking work and there's a lot of synergies with being able to transfer the workforce from Train 2 right over to Train 3. It depends, right? We would -- Sabine 6 is shovel-ready. There's still some crews there. It would be a logical nice extension of Cheniere. We would call it Train 9. So, if the market continues to grow the way it has been and demand the product that we have, we're very hopeful that we can launch right into having two trains FID.
Jeremy Tonet: That would be great. And just looking to the guidance here. It seems like you had a lot on the water at year end and that played into the revenue recognition with CEI. So, I was just wondering, as far as the guidance change, is it solely kind of the recognition of those cargoes in 2018? Or are there other factors in play like the deck or anything else that kind of played into the guidance change there?
Michael Wortley: Jeremy, it's Michael. Yes, the deck drove, I'd say, 90%, 95% of the change. We had modeled a lot of cargoes on the water on our original guidance. As I said in the remarks, that's a little bit higher. We're talking maybe a cargo or two that's left over in 2018. It's more of pricing moving up. And I talked about a budgeted margin number of $1.50 to $2 on the last call. That number is more like $2.50 to $2.75 now given the violent move, mostly in the winter, but also in the shoulder and the summer months as well, that curve moving up. So, yes, I mean, that's a really good driver.
Jeremy Tonet: That's all helpful. Thanks for taking my question.
Operator: [Operator Instructions] And we'll hear from Christine Cho from Barclays.
Christine Cho: Hi everyone. I saw that Korea is looking like it might take over the top destination for U.S. LNG from Mexico. Is that mostly from the Korea gas contract? Or have you guys been delivering there from CMI on top of that? And is that more seasonal or the start of something structural similar to China? Any update you guys would be able to find on additional SPAs that could come out of there despite the industry view that demand would proceed down to flat in the longer term?
Anatol Feygin: Thanks Christine, it's Anatol. They pointed the finger at me for this one. So, coal/gas, very large contract. Obviously, as we annualize that, it will mean more volume going to Korea. We did do spot cargoes into Korea before the start of that contract and to support their requirements. With their change in leadership, you saw kind of late Q1, early Q2 of last year, a very aggressive discussion about Korea's gas requirements and how it's power would be procured moving forward. I would say relative to those very aggressive sort of pro-gas expectations, the numbers have been tempered somewhat, but it's still looks to us like a meaningful incremental gas market, especially as you move out two to three years in some of their plants on nuclear retirements play out. In terms of Mexico, we still think that that's a -- that's going to continue to be a very attractive market. Obviously, for us, it's in our backyard, whether it's East Coast or West Coast. As you probably know, we're, in any given day, the largest LNG user of the Panama Canal and are very comfortable with supplying the West Coast of the Americas, and it's really up to CFE and what kind of requirements it will have. I think, structurally as we move over time over the next two to four years, some of the infrastructure projects will ultimately come on and there will be a market that shifts more towards pipe gas as opposed to LNG, but we do think there will always be a role for LNG and we think we're well-positioned to continue to serve CFE's and PMI's requirements.
Christine Cho: Okay. And then what's the increased LNG from the U.S. to Asia, which is a pretty long route doing to charter rates? I think you guys have three ships on a five-year basis? Should we think that you guys will continue to do the remainder with short-term charters or will you be churning some out?
Jack Fusco: We actually -- Christine, we actually had 23 ships on the water by the end of last year. And so we've been very aggressive with that--
Christine Cho: But that's mostly short-term, no?
Jack Fusco: It's a short, medium and if you want to call it, long -- it's all of the above.
Christine Cho: Okay, okay.
Jack Fusco: And it's going to -- it is -- and it's going -- as far as shipping and logistics, the one thing that I learned about this business over the last year and a half is that it's a big effort, right? It takes some months to get the Asia when you go through the Panama Canal. So, it requires a pretty good pace of shipping and I feel very comfortable that our team manages it very effectively.
Christine Cho: Okay. And one last accounting question for me. Does your tax guidance assume Corpus Christi 3 gets built? And is that CapEx eligible for a 100% bonus depreciation?
Jack Fusco: No, and yes.
Christine Cho: Okay.
Jack Fusco: It's not in our numbers, but yes, we expected it to be eligible.
Christine Cho: And how -- what kind of impact with that due to when you pay your taxes, if that were to be included?
Jack Fusco: I guess it would push out the day we're a full taxpayer at 21%, but that's already so far pushed out and I don't think that it's really material.
Christine Cho: It wouldn't do anything to when you start the pay cash taxes?
Jack Fusco: No, because -- writing off Train 3 would create more NOLs and those new NOLs are subject to the 80% limitation, so.
Christine Cho: Okay. Thank you.
Operator: And from Wells Fargo, we'll have Michael Webber.
Michael Webber: Hey, good morning guys. How are you?
Jack Fusco: Good. Michael how are you?
Michael Webber: Good. Jack I wanted to circle back to CC3 and then maybe how your commercial conversations evolve. I know you're 60%-odd covered, you're looking to finalize financing, obviously, or it would seem like you could need to have a kind of fix of volume there to kind of nail down the actual pricing on that financing because it would certainly play a role. So, I'm just curious in terms of your ongoing commercial conversations and once you kind of close CC3 at that point, how easy is it the transition those conversations to Sabine 6? Are you at a point now where most of your ongoing commercial conversations from here on out will be around Sabine 6? And would you continue to use CMI or can you use that as kind of a landing pad for these kind of one to one and a Mpta contracts to then kind of dispersed accordingly?
Jack Fusco: That's exactly the way we think about it, Michael. As number one, we don't think about it as a percentage of cover for the actual production of the Train. I think the way you said 60% covered, we look at the cash flows and the stability of those cash flows and the creditworthy counterparty and if it's financeable or not, right? But yes, it's our intent to be a portfolio provider of LNG. So, our entity as a CMI entity and that gives us the right to deliver from either of our sites and we like that flexibility and optionality. So, you should expect us to continue to do these contracts through CMI. And then as we -- as you heard from us, we feel like we're completely commercialized on Train 3. You should expect us to look to build other trains in the portfolio and to be in [Indiscernible] my sites.
Michael Webber: But -- no, so I'll say -- so I'm sure there's a handful of commercial conversations that were kind of ongoing and then just happen to getting a couple of over the line for others. There's no difficulty in kind of shifting that towards Sabine 6 kind of being the kind of the end result? We shouldn’t we expect any kind of lag or anything along those lines?
Jack Fusco: It's dependent on what the customer needs, right and they need it by. So, if it's a contract with the creditworthy counterparty that we could use to help finance Train 6 rather than use incremental volumes that we already have in the portfolio, then we're going to use it to help us build -- continue to build out our sites.
Michael Webber: And then just a follow-up on Sabine 6 and I know it's a bit unfair to kind of put the cart in front of the horse, you're still finishing Corpus 3. But Jack, is it fair to think about Sabine 6 as may be more of a -- more complex from a commercial perspective, in the sense that may be is it reasonable to think you could use that as an opportunity to maybe bring more parties to the table, potentially simplify the structure? And maybe does it -- does that just get a bit more complicated? And do you view that more as a complication or more as an opportunity?
Jack Fusco: My intent is to create value for my shareholders -- so long-term value. So, while the capital structure is complicated, it's not going to hinder us from doing what's right for the investor base. And again, we feel like at Sabine 6, just like at Corpus 3, there's a lot of utilities, et cetera that we've already invested in that would make that a very competitive Train and we want to capitalize on that and earn the maximum returns we can for our shareholder base. So, it's not going to influence our decision-making of what entity that sits in, if that's your question.
Michael Webber: Yes, no. I appreciate it. It was worth a shot. Thanks for the time guys.
Operator: We'll next hear from Ted Durbin from Goldman Sachs.
Ted Durbin: Thanks. Here's is another one; I'll take a shot and see. When you look at the contracts you got on Corpus 3, would you say you're churning more towards the lower end or the higher end of that $400 million to $600 million of EBITDA guidance you put out there?
Michael Wortley: Yes. Aim in the middle. It's a range, we're comfortable with it and you guys usually take the midpoint and we're cognizant of that, so.
Ted Durbin: Okay, understood. The--
Jack Fusco: And Ted, it's our intent, as soon as we get the financing done, then we'll come out with revised run rate guidance for you all.
Ted Durbin: Understood. As we look at the CNPC contract, any color on whether it's more front or back-end loaded? I guess it was unclear on the 1.2 million tons, how much of that comes in the 2018 through 2023 timeframe versus the out years?
Jack Fusco: There's actually three contracts. So, we just executed another contract for CNPC. So my -- I view that relationship as a very long-term relationship. We want them to be successful in what their environmental initiatives are. So, we actually have volumes that are going as we speak and that start in 2018, go through 2018, 2019, 2020 and then continue on for the next 25 years. So, we're not going to give into any specifics as far as how much is front-end loaded and how much is back-end loaded, but I just think it's just the beginning of a very long-term relationship with a counterparty that we feel very comfortable with.
Ted Durbin: That's great. And can you give us some color on the 2 million tons that you hedged over 2018 to 2020, the timing on when you're putting those on, are they head -- are they weighted more to a particular year versus another one?
Anatol Feygin: Yes, those are a rough -- there are several deals in there, they're roughly writable over that period, we did some cargoes over sort of a seasonal period and some cargoes completely ratable throughout the year. So, you can think of that as relatively evenly dispersed between 2018 through 2020.
Michael Wortley: And its Michael, I'd add that those are physical deals. So, we're not -- we did a little bit of financial hedging, but that's not really our business. We're out doing physical deals. It's much easier on the balance sheet.
Ted Durbin: Yes. And is it fair to say that those were put on fairly recently say in the last three months, or did you have some prior hedges on before this disclosure?
Michael Wortley: Really started doing those late Q3.
Ted Durbin: Okay, got it. That's helpful. That's it for me. Thanks.
Operator: We'll hear from Faisel Khan of Citigroup.
Faisel Khan: Hi, good morning gentlemen. On Corpus Christi Train 3, I just want to make sure that -- was the primary metric that the Board needed to sort of, I guess, move to FID or one metric -- was it just the $400 million to $600 million in EBITDA, was that sort of the target metric that you guys were looking at, they were looking at too?
Michael Wortley: No, it's Michael. It was really returns based, as Jack said earlier, and there are several things that we look at and show the Board and we talked about a 10-year unlevered payout on a contracted basis at a very minimum. But you can look at it as basically, we want to make a decent return on a contracted basis only and we want to make much better returns putting in a reasonable number for the unsold capacity. And that's how we ended up here and it was I think an easy decision.
Faisel Khan: Okay, okay. So, the only limiting factor at this point to reach FID is [Indiscernible] thing, is that a fair statement?
Michael Wortley: Absolutely, and we kicked-off the financing last year knowing and feeling that these -- those contracts were immanent. So, we're in a position to launch that transaction in a matter of weeks. So, we'll wrap this thing up over the next couple of three months and be on our way.
Faisel Khan: Okay. And I missed some of your comments on taxes at CQH. So, can you just give us the numbers? Did you say that you expect not to -- when do you expect that CQH will pay income taxes? And number has moved out much further?
Michael Wortley: Yes, early 2020s.
Faisel Khan: Early 2020s, okay. Okay, got it. And in the fourth quarter, how many commissioning cargoes did you produce?
Michael Wortley: In the fourth quarter, I think it was a couple.
Jack Fusco: Two, Faisel.
Faisel Khan: Okay, got it. And it wasn't a significant sort of debit to PTD, it was a small number. Okay and then just in terms of -- and you guys talked about hedging out some of your supply, what's sort of the liquidity like -- are you looking at, I guess, are there physical hedges with customers, or are they -- are you using financial hedges, I guess, to the extent you can see [Indiscernible] those sort of indices?
Michael Wortley: Yes, as I said, the 2 million tons are physical transactions. We have some capacity to do some financial hedging. We do that from time-to-time, but that will be a pretty small part of our business. There's plenty of physical demand out there that's much easier on our balance sheet and so that's what we're trying to do.
Faisel Khan: Okay. Thanks.
Jack Fusco: Thank you, Faisel.
Faisel Khan: Got it. Thanks guys for the time.
Operator: With Tuohy Brothers, we're hearing from Craig Shere. Please go ahead.
Craig Shere: Good morning. How has the Waha basis blowout impacted both your Corpus Christi marketing efforts and your expected EBITDA contributions from Train 3?
Jack Fusco: I'm looking at Anatol on that one, Craig.
Anatol Feygin: Thanks Craig. So, we are -- the 800 pound gorilla in gas procurement these days and obviously, we're looking at all of the different basins and search for the most attractive economics. But as you know, as well as anybody, Rome's not built in a day. So, it takes some time for those economics to reverberate into decisions and ultimately into contracts. But it's certainly a nice tailwind as we look at supply in Train 3 and supply in the portfolio in general. So, it's clearly a benefit to our efforts on the gas procurement side and we continue to support the producer community with the attractive solution of moving its volumes to Corpus Christi.
Craig Shere: Is it safe to say that the 1.15 times Henry Hub energy supply is not [sacrament] as you firm up these contracts -- incremental contracts?
Jack Fusco: Sorry, so that 1.15, which was a really good early estimate, we've talked to you guys about at the Analyst Day that the 10% of that is for fuel and shrink and the ops team is doing a fantastic job and doing marginally better than that. And 5% was for the variable cost of gas procurement. And while Corpus is a challenging market to serve, as you said, the development of the associated gas in the Permian is a benefit and will make meeting that 5% hurdle marginally easier.
Anatol Feygin: Craig, are you asking if we had to change our pricing structure to get the incremental contracts?
Craig Shere: Well, I'm trying to get a sense if given everybody's expectations of lower basis that you were able to get may be more attractive liquefaction fees relative to people's expectations in this current market by showing people that they have this lower feedstock.
Jack Fusco: Well, okay remember now, we're -- you're talking about international utilities that are not, in most cases, really familiar with the U.S. overall, but the ones that are, we're asking them to make a very long-term debt, right, 20 to 25 years. And -- but I think our pricing structure is more than adequate for us to be able to do incremental transactions and I think the fact that the U.S. is -- got a very competitive gas supply situation is a competitive advantage for us near-term and it's up to us to make sure that we can deliver on all of that for our customers.
Craig Shere: Great. Last very quick question. I tried to track the C Corp-only operating cash flows minus CQP and ex-working capital and it looks like that operating cash flow in the fourth quarter was down a fair amount from the third quarter? Is it just those pre-sold Asian cargoes that are -- were deep in the money from a couple years ago are rolling off? Or the splits, kind of, getting thinner as you get just over $3 and pay all that to CQP? What's driving some of that?
Jack Fusco: I think it's the 12 cargoes on the water, which CQP recognized those because they recognize our revenue when the cargo is loaded at the dock. But on a consolidated basis, we don't recognize that until it's unloaded, and so that's probably the difference. There's not a good rule of thumb there. That changes pretty wildly given the quarter.
Craig Shere: Understood. Thank you.
Operator: [Operator Instructions] We'll next hear from Jean Ann Salisbury with Burstein. Please go ahead.
Jean Ann Salisbury: Good morning. I know that you're evaluating your midscale LNG project. Can you give us an indication of if we should expect your cost there to be lower than competitors proposing similar projects if you decide to get that route?
Jack Fusco: We're actually filing in for a midscale applications. So, what we're trying to do is to make sure that we have all the tools in our toolkit depending on how the market continues to develop. So, the way we view it is -- it's a different paradigm because it's electric-driven, not gas-driven. It's smaller so there's more of the equipment to get the same amount of tonnage out. So, if there -- if we have customers that need large quantities, a million tons or more, we would probably stick with our traditional LNG trains, the larger train. If we had customers that started to develop that were smaller quantities, 0.5 million to 1.0 million, that needed it now and we didn't have excess, we would probably go to a midscale. So, for us, I don't think you're going to see a big variance with any of them at the end of the day because infrastructure costs are so expensive in this business that there's going to be a material difference in capital costs around the Board. There's no smoking gun, there's no Moore's Law, there's none of that stuff in the good LNG liquefaction business. But it's just more on commercialization.
Jean Ann Salisbury: Okay, that makes sense. Thank you. And then just a quick one. Do customers strongly prefer undisclosed contract terms and is this what we should expect in the market going forward?
Michael Wortley: I think the answer to that is yes. And you can imagine certain customers are very keen on having those commercial terms remain as undisclosed as possible.
Jean Ann Salisbury: Okay, fair enough. Thank you for taking my question. That's all for me.
Operator: We'll next hear from Pavel with Raymond James.
Pavel Molchanov: Thanks for taking the question. Just quick two quick ones from me, kind of related to point. Does the off-tick agreement or do the off-tick agreements with PetroChina limit you from pursuing similar types of contracts with other Chinese buyers? And if they do not preclude that, are you in discussions with other prospective Chinese customers?
Jack Fusco: Pavel, no, it does not limit us for any discussions with any Chinese buyers and you should assume that we're all over that market.
Pavel Molchanov: Okay. That's it for me. Thanks.
Operator: We'll next hear with Morgan Stanley, we have Fotis Giannakoulis.
Fotis Giannakoulis: Yes, hi gentlemen and thank you. I saw that the two contracts that you've signed -- actually the three contract that you've signed with completely different type of customers. And I was trying to -- I'm trying to understand if the commercial discussions that you have skewed more to one category or another, I'm talking about between end-users or Chinese buyers, traders? And how do these discussions differ between one another in terms of the pricing structure and the way that the SPAs are structured?
Anatol Feygin: Fotis -- Fotis G. is what we'll call you. It's Anatol. Thanks for the question. We have some hard and fast rules that our customers need to be creditworthy and dimensions like that. But other than that, as Jack said in his remarks, we have a lot of tools in the portfolio to offer products to a full range of customers; FOB, DES, portfolio players, end-users. And to your question, we're very proud of the fact that we can come up with the right solution to effectively service all of them. So, we will continue that engagement. The first deal at Sabine was with the single largest LNG portfolio player and we've got a long history of working with all types of customers and we'll continue to prosecute all of them.
Fotis Giannakoulis: Thank you, Anatol. Is there any -- in the first contract, you talked about some flexibility that you can provide to the customer. Can you give us a little bit more color what this flexibility means? Is it in terms of pricing structure? Is it in terms of volume? Anything that you can share with us?
Jack Fusco: No, as far as I can say, most of our customers don't want us to talk about their specific contracts. We're very creative and aggressive on our contract negotiations, and you're going to see the results of that when we FID the Train and we give some run rate guidance forecast going forward. But we're not going to get into any of the details of the contracts.
Fotis Giannakoulis: Thank you gentlemen. I appreciate.
Operator: It appears there are no further questions at this time. I would like to turn the conference back to our presenters for any additional or closing remarks.
Jack Fusco: I just want to thank everybody for your support of Cheniere. Again, we have an incredible year in 2017. We're just getting started; we're looking forward to 2018. And we appreciate all of your support and interest. So, thank you all.
Operator: This concludes today's conference. Thank you for participation. You may now disconnect.